Operator: Welcome to the first quarter fiscal 2008 Zumiez Incorporated earnings conference call. (Operator Instructions) I’d now like to turn the call over to Mr. Brendon Frey of ICR.
Brendon Frey: Today’s conference call includes comment concerning Zumiez’s business outlook and contains forward-looking statements. These particular forward-looking statements and all other statements that may be made on this call that are not based on historical facts are subject to risks and uncertainties and actual results may differ materially. Additional information concerning a number of factors that could cause actual results to differ materially than the information that will be discussed is available in Zumiez’s filings with the SEC. Now, I’d like to turn the call over to Rick Brooks, Zumiez’s President and CEO.
Richard M. Brooks : Good afternoon and thanks for joining us to discuss the Zumiez’s first quarter fiscal 2008 results. Joining me today is Trevor Lang, our Chief Financial Officer. Following my opening remarks, Trevor will review our financial and operating highlights and then I’ll provide closing comments before we turn the call over to the operator to conduct the question and answer portion of the call. It’s no secret that the environment we find ourselves operating in continues to be difficult. While we believe the teen customer has slightly more discretionary income than their parents, they are still impacted by the sluggish economy. We are obviously not happy that our comps were negative however, we are proud of our team and their efforts to maximize every sales opportunity and as important, control our costs and inventory in such a way that allowed us to modestly exceed earnings expectations. Our store team and home office continue to focus on managing discretionary spending while ensuring that we do not sacrifice customer service. I’m particularly proud of our ability to increase units per transactions and dollars per transactions which helped us offset a decline in transactions. There may be fewer customers coming through our doors relative to last year but we are doing what we can to make sure their experience is distinctly unique by giving them the best selling experience and by having the products and brands they are looking for. We have an experienced management team that is focused on maximizing sales while managing our expenses and inventory prudently during these difficult times. For example, we lowered our inventory per square foot by 8% at quarter end. Our teams have done a good job at keeping inventory fresh and relevant. We will continue to manage our inventory and expenses carefully. We remain committed to the strategies we outlined in March. First, we’ll continue to focus our energies around motivating, hiring and retaining great retailers. But, we believe the techniques and skills sets we give our sales people, merchants and home office staff is second to none and will allow us to grow sales even if at more moderate levels during 2008. We believe we will continue to be a destination shopping experience for the action sports oriented consumer and we’ll continue to focus on delivering a diverse product offering. We plan to continue to grow our store count because we believe our growth feeds our success, allows our employees opportunity and keeps the most talented employee engaged and provides them with career path. In prior economic downturns we’ve been able to acquire great talent and locations and believe this may occur again during the current cycle we are operating under. In our opinions, the stronger disciplined and well financed companies like Zumiez benefit longer term from these periods of shakeout. These strategies have paid off with the a strong culture that has delivered growth for 30 years. To that point, we recently held one of our three national events where we bring all our store management leadership together here in Washington State. I came away energized and confident that that the talent, training and execution is in place for us to execute our 800 store strategy. Looking out at the rest of the year we are planning our business and operating under the assumption that the environment will remain challenging. Traffic continues to be our main issue. Therefore, we believe it’s prudent to remain relatively conservative at this time so we are not changing our earnings guidance for the year. Now, I’ll turn the call over to Trevor to discuss the financials in more detail.
Trevor S. Lang : Good afternoon everyone. For the first quarter net sales totaled $78,700,000 an increase of $9,900,000 or 14.4% compared to $68,800,000 in last year’s first quarter. The increase in net sales reflected the opening of 52 new stores since the first quarter of last year offset by a decline in same store sales of eight tenths of one percentage point. Our first quarter comps were in lines with the guidance we gave you in March and were driven by negative transactions offset by a our higher average unit retail. We opened 21 stores since the end of the year and believe we can open 57 new stores this fiscal year. As we have discussed for a few calls now, our stores in California, Arizona, Florida and Nevada continue to be particularly challenging for both new and comping stores. However, our other markets such as Washington, Texas, Illinois, Wisconsin and New Jersey performed very nicely for us this quarter. From a product perspective our best performing departments were our skate, hard goods, boy’s apparel and shoes. Our toughest performing departments were men’s and women’s apparel. Turning to gross profit, for the first quarter gross profit increased $2,900,000 or 13% to $24,600,000 or 31.2% of net sales compared to gross profit of $21,700,000 or 31.6% of net sales in the first quarter last year. The slight decrease in gross profit margin was driven entirely by an increase in store occupancy costs as a percentage of sales. As Rick mentioned, our team did a good job at managing inventory and because of that we have not seen much erosion in our product margins and ended with less inventory per square foot than last year. Moving on to expenses, in total our SG&A expenses increased $3,400,000 or 17% to $22,900,000 or 29.1% of net sales compared to $19,500,000 or 28.4% of net sales in the first quarter last year. The slight percentage increase was driven primarily by negative leverage on store costs due to the decline in same store sales and our desire to make sure that the customer’s in store experience was a good one. Operating income was $1,600,000 or 2.1% of net sales compared to $2.2 million or 3.2% of net sales in last year’s first quarter. Net income for the first quarter was $1,400,000 or $0.05 per diluted share compared to $1,600,000 or $0.06 per diluted share in last year’s first quarter. Now, turning to key balance sheet highlights. At May 3, 2008 cash and marketable securities increased to $68,200,000 from $38 million at May 5, 2007 an increase of almost 80%. Inventory was $58,700,000 at May 3, 2008 versus $50,300,000 at May 5, 2007. Average inventory during the quarter on a comp store basis increased about 1% from the same time last year. However, inventory per square foot at the end of the quarter was $72 versus $78 last year, down 8%. We remain comfortable with our current inventory position. Also, at May 3, 2008 the company had no long term debt including no outstanding balances on its revolving credit facility. Now, to our guidance. For fiscal 2008, we are reiterating our previous guidance of sales in the range of $430 to $445 million. Again, this is based on our target of adding 20% square footage and opening 57 new stores. This also assumes a flat to low single digit comp for the year. We are also reiterating our diluted earnings per share guidance of approximately $0.90 to $0.93 for fiscal 2008. Our current expectation that 2008 operating margins will be in the mid to low 9% range driven primarily by lower gross margin due to higher occupancy costs as a percentage of sales. For the first half we continue to expect EPS will be down based on a low single digit negative comp, while EPS in the back half of the year will increase in the mid to high teen range based on a low single digit positive comp. Weighted average diluted shares for fiscal 2008 are expected to be approximately $29,700,000. Now, I’d like to turn the call back over to Rick.
Richard M. Brooks : As we look out to the back half of the year we continue to focus on being the best action sports retailer as we head in to the key back to school and holiday seasons. We will continue to plan our sales and inventory conservatively. Our great sales people, unique branded product offering, distinctive in store experience continues to differentiate us from the competition and provides our target consumers with compelling reason to visit and shop at Zumiez. Over the long term, these same attributes will compelling us towards our goal of 800 stores. Now, I’d like to open the call to your questions.
Operator: (Operator Instructions) Your first question comes from Mitch Kummetz – Robert W. Baird & Co., Inc.
Mitch Kummetz – Robert W. Baird & Co., Inc.: The first question has to do with the guidance, I know you’re maintaining it for the full year but I think Trevor, as I recall, you were saying previously for the back half, I think, kind of high teens to low 20s earnings growth. Now, you’re saying mid to high teens. Is that just a reflection of Q1 coming in a little bit better than expected and wanting to stay conservative on the years so you’re being more conservative on the back half?
Trevor S. Lang : I think that’s mostly right Mitch. Nothing has really changed in our outlook for the back half of the year. We’ve obviously got just a tad bit more visibility than what we did before but if you just do the math of respreading those earnings, that has more to do with how we’ve changed the guidance than we’re seeing anything materially different than what we said when we talked with you guys a couple months ago.
Mitch Kummetz – Robert W. Baird & Co., Inc.: Where did Q1 come in a little bit better than expected? Was it primarily the comp? You guys came in I think -.8% and I know that the first half guidance was negative low single digits which that would encompass that but were you expecting a worst comp in the first quarter and then it came in a little bit better than expected? Or was it more on the margins? Where did you see the upside to your expectations?
Trevor S. Lang : In a number of categories, Mitch. Obviously when we had the call with you guys in early March we had reported our February sales. I believe the comp was down -2.6% and we did come in slightly better than what we were trending at the time. The vast majority of the upside came in spending. Even if you look at our spending, again we built a plan and we continually evaluate it with the management team here. We’re projecting the comps coming in closer to 3%. We really reigned in spending. We looked at things like home office spending, consulting, new hires, training, and travel. Anything we could affect that was not going to impact the in store customer experience are the things we focused on. We also did slightly better in our shrink. We’ve really focused on that. As you remember we had a slight up tick in shrink towards the last part of the end of last year and we’ve put in some new processes, some new tools and a renewed emphasis and so our shrink results were slightly better. Finally as we mentioned again on both the third quarter and the fourth quarter in this call last year our stock-based incentive comp was an expensive component in the previous year and we’ve done things probably different there that we think is going to help our employees to understand better and also to incent them to drive our business in the future. So it’s a number of areas that we focused on that helped our spending.
Mitch Kummetz – Robert W. Baird & Co., Inc.: Again your -.8% for the first quarter, your outlook still assumes negative low single digits in the first half. The last two months combined I think were flat. Are you expecting a worse comp in the second quarter than the first quarter or something comparable? Negative low single digits can be a bit of a wide range. So just curious. Do you think the trend in the last couple months could continue or do you think that just given where the environment is and maybe how your business is trending month to date that something below what the last couple months is more prudent?
Trevor S. Lang : Our current expectation is that the comps, we did say low single digits. I think it would be hopefully somewhere around what we did in the first quarter.
Mitch Kummetz – Robert W. Baird & Co., Inc.: Two last quick questions, one on the footwear. Footwear was a category that comped positively for you for the quarter and it had been a tough category prior to that as I recall. Do you feel like you’ve turned the corner there and how much of that might be to trend or kids buying shoes after delaying that purchase over the prior period and how much Pac Sun factored into that? Is that a category that you think is going to comp positively going forward?
Trevor S. Lang : First off just to be clear for the quarter our footwear categories actually comped slightly negative for the entire quarter. The last two months I think it was slightly positive combining March and April with the switch in Easter week. It was slightly positive in that window but it was just slightly negative for the quarter itself. Now as we look beyond this quarter, Mitch, here is what I would tell you about our footwear business. As typical there is multiple things going on. It’s never quite an easy thing. It’s just one thing. The first thing I’d tell you is that if you look at our wall of footwear today it reflects well the current trend cycle particularly as it relates to our customer, what we believe our customer wants for the trend cycle. I think our team has done a really good job of interpreting what we - we weave the trend cycle into our product presentation. That’s the first thing I’d tell you. The second thing, and you kind of addressed this in your question, is that we definitely have some easier comparisons to prior years in the footwear department. So that’s in play too. And then lastly I think we will get a benefit from Pac Sun driving footwear and we should and based on those locations we crossed over at them I think will be one of the beneficiaries from them dropping the business.
Mitch Kummetz – Robert W. Baird & Co., Inc.: One last question, Trevor, you mentioned the markets that California, Arizona, Nevada, Florida being a drag on the comp in the quarter. Could you quantify that? Could you talk about how you’d expect those markets to play out over the course of the year? At some point you will begin to anniversary that slowdown and I’m just wondering how you’re thinking about those markets as you’re going forward?
Trevor S. Lang : Mitch, just to break those out for you, those markets which represent about 31% of our sales and 29% of our stores, they obviously comped negative. If those stores had just comped flat our comps would have been a positive 2.5% comp for the first quarter. Looking out for the rest of the year we certainly have read nothing that the housing issues in those markets are going to abate anytime soon. Those markets performed very nicely through really the end of September. Those markets were very productive for us. As you know, especially California is a big piece of our business. We’ve really got no relenting coming in until we get to late September and we’ve been reading the same stuff you’re reading. I’ve not read any good news coming out of those housing markets. I would suspect that they’re going to continue to be challenging for us for sure until the end of September.
Operator: Our next question comes from Jim Duffy – Thomas Weisel Partners.
Jim Duffy – Thomas Weisel Partners: Trevor, couple quick questions on the margins, on the gross margin was part of the health there based on contribution from vendors? Were you able to go back to vendors and get any concessions? If so could you quantify that?
Trevor S. Lang : Just to be clear, our margins were down 40 basis points for the quarter. The product margins were pretty similar to last year and that is the vendors giving us money at the end of the season, it was a pretty small piece of what we do. So I would not consider that to be any material amount of money. As you would suspect when products don’t perform and we to take markdowns we expect that our vendors are going to step up and be there with us. I wouldn’t characterize that as a material component of our gross margins either going up or going down in the first quarter.
Jim Duffy – Thomas Weisel Partners: What was the stock-based comp number?
Trevor S. Lang : For the quarter it was about $970,000 and I think 93% of that hits in the SG&A, the other 7% of that hits in cost of goods sold.
Jim Duffy – Thomas Weisel Partners: On SG&A that line item came in a good bit lower than I had expected. Beyond the things that you mentioned was there anything kind of a timing of planned investments or anything like that that got pushed out until later in the year?
Trevor S. Lang : Nothing that wasn’t planned for. We did have a few small things but for the most part we just tightened the budget strings and people just really didn’t spend things that we had planned on as we saw the comps coming in at that low single digit for the first two months of the year. It’s not like we pushed something material out of Q1 into Q2. It really just was people were very focused throughout the quarter. The store team did a really good job of managing their expenses and we just kept things really tight and close to the vest. So, no I wouldn’t expect that something that was planned for the first quarter is going to have a material impact on the second quarter.
Operator: Our next question comes from Stephanie Wissink - Piper Jaffray.
Stephanie Wissink - Piper Jaffray: I just want to focus in on the second quarter guidance. Looking at a low single digit positive which would imply a 3% to 4% swing. What are the factors, Rick, that are driving that reversal in your plan? Is it merchandise? Is it a traffic assumed improvement or footwear? Can you give us a little color?
Richard M. Brooks : First let me have Trevor comment because I think you may be misunderstanding what we said.
Trevor S. Lang : We are expecting a low negative single digit comp for the second quarter.
Stephanie Wissink - Piper Jaffray: Sorry, I was looking at the second half.
Richard M. Brooks : Second half, that’s a different question. Again, can you give us your question one more time?
Stephanie Wissink - Piper Jaffray: When you’re looking at the first half relative to the second half, you’re calling for a sequential improvement half to half in your comp and I’m just wondering what’s driving that confidence in improvement? Is it merchandise related or traffic? What metric within comp do you expect to turn?
Richard M. Brooks : I can tell you from our internal thought process, this is how we’re thinking about and why we’re expecting, talking about low single digit comps in the back half of the year. The first is that we think we’re on trend, Stephanie, and when people come to shop, when we get in a volume period, when we get customers out to come around the Easter holiday or President’s Day, any of those periods, we tend to do very well. We still think back to school is going to happen. We still think holiday is going to happen to some degree and we look at that and say we believe we’re going to get our fair share during those cycles when kids come out to buy. We’re basing that upon our experience through last holiday and so far to date this year that we think we’ll probably get a good result relative in those two peak periods when kids come out to shop. Second, we do think we’re going to get a benefit as we just talked about earlier from the footwear department where we think we have an opportunity there particularly back to school and to a lesser degree at the holiday season in the footwear area.
Trevor S. Lang : Just to give you a couple of things as we think about, our current expectation is that Q3 and Q4 we’ll get into positive comps with Q4 doing better than Q3. As you’ll remember we did over a 13% comp last year in the third quarter during back to school and we did just over I think a 4% comp in the fourth quarter. So as you too are thinking about your model we don’t want to like to get into specifics by quarter, we want to think about first half, second half and the full year. We do see our comps getting slightly better as we progress through the rest of the year. The last time the company has had a 4% positive comp I think goes back to 2003. With the number of new stores and how our new stores that are less than three years old are performing, we would expect that, again as long as things in the macro environment don’t get more challenging and things get a lot more difficult, based on history we would suspect that we could continue to grow those same store sales in the back half of the year.
Stephanie Wissink - Piper Jaffray: Trevor, can you just comment a little bit more elaborate on that statement you made around your stock comp plan and then remind us again how it factors through the year in terms of the impact per quarter?
Trevor S. Lang : Last year the company had some pretty large charges in stock-based compensation based on a much higher stock price and really a very volatile calculation which you can get into a lot of [annutia] under the FAS 123, our calculation that we have to follow. We’re not going to get into specifics more for competitive reasons but we’ve gone to a much more predictive expensive. We think it actually incents our employees better and we’re actually going to see based on current expectations that that expense is going to decline. So last year our total expense for stock-based compensation was about $5.2 million. We would actually see that expense being lower under our current expectations. It’s really just moving from a model that we had in the past to what we consider to be a better model and a less expensive model.
Stephanie Wissink - Piper Jaffray: Last one for me, Rick, this one is from your perspective given several years in the business. You hinted a little bit at the change in the footwear category but I’m curious if you’re seeing that traditional action sports consumer converge with the street wear urban consumer and where you feel you’re positioned if that’s happening to take advantage of that trend?
Richard M. Brooks : Stephanie, again that’s a cycle for us, the street wear. The skate meets street cycle has been going on for probably the last 18 months and I think many areas have reflected that in our business, the rise of selective brands that are significant in that marketplace. Footwear is no different in that sense where I do think that’s an aspect of it but that’s not entirely what’s going on either and I think part of it is just the trend cycle with color and how color is being reflected in footwear. Broadly we’re seeing the skate companies I think do a very good job of that and I think our team has done a terrific job of positioning our footwear that way. It’s partly yes, the skate meets street crossover in terms of business. But it’s just a general trend cycle also.
Operator: Our next question comes from Brad Stephens - Morgan Keegan.
Brad Stephens - Morgan Keegan: Given what you’ve talked about in the states that have been impacted by housing, how does that change your real estate outlook for 09 and maybe exploring new markets versus fill-in markets?
Richard M. Brooks : As we look into 09, we’re still thinking about building the business for the long term and we remain confident that these markets, California is a very important market to us, even in the down trending cycle; we still are performing in terms of results in those stores in terms of the contribution. Yes it’s obviously declining but they’re significantly high performing stores for us in terms of the store contribution dollars. Likewise, Arizona and Florida is a bit different case as its new market. We believe and as we think about this on a long term basis that these markets are still going to be very important markets for us. While we may adjust some portion of the mix we’re trying to keep focused on what we believe is the long term result here.
Trevor S. Lang : It is a key question because it’s a strong piece of our strategy. I just want to remind investors and analysts just what that real estate strategy is. There is three things that we focused on as opening stores; first we want to do a mix of A malls, B malls and C malls. Second we want to do a mix of existing markets and new markets. We think we have a national chain that can be rolled out across the United States. We want to do that in such a way that we do it equally across the A, B and C malls to the extent possible, sometimes it’s difficult to deal with landlords so it’s not a perfect science. We also want to open a good amount of new markets and existing markets. And if you talk about those environments, Rick spoke about that, some of our markets especially in Arizona, California and Nevada have been historically very highly productive, highly profitable stores for us. If you look at the 57 stores we talked about opening this year, we’re going to open 20 of those stores, or 35% of our stores are going to open in those markets. Rick spoke a bit about this at the last earnings call; we’re actually for the first time in probably 10 to 12 years seeing some rents where they’re not as difficult to negotiate. When we see those markets return to normalcy, whatever that is, we think we’re going to have some very productive deals with some better rent deals in there as well. Our expectation is that even though we are in a tough environment we think that managing this business for the long term we can get some good deals done that are going to help us.
Operator: Our next question comes from Sara Hasan - McAdams Wright Ragen.
Sara Hasan - McAdams Wright Ragen: Just following up on the last question, are you seeing any opportunities to acquire groups of locations at this point from other retailers that maybe are not faring so well?
Richard M. Brooks : Our strategy there, Sara, is not really to work with the liquidation side of other retailers’ struggles. We believe it’s much better to work in partnership with the landlords and our experience has taught us that that the better strategy is to work in partnership with the landlords and let the landlords address the issue and then we work with the landlords as step two of that. We work very closely with our landlords I might add because there are situations where we both can come out stronger and better. We don’t really deal directly in terms of buying locations out of bankruptcies or things like that. Our preferred position is to work as a partner with our landlords.
Sara Hasan - McAdams Wright Ragen: Any thoughts on share repurchase?
Trevor S. Lang : We obviously believe that long term our share is an attractive, we have done the math of it, we will talk about it with our Board but we currently have nothing to announce at this time.
Operator: Our next question comes from Unidentified Analyst.
Unidentified Analyst: We were just wondering is the 38.5% tax rate something we should model going forward or still keep it closer to 38%?
Trevor S. Lang : It’s going to be somewhere in between that. We are accruing a very modest amount of interest. There’s some new accounting rules out, that came out last year, on how you account for potential settlements with the IRS and so we accrue a very modest amount of interest. You obviously know that the first quarter’s earnings are by far the lowest; I think they represent about 5% of our annual earnings. So you accrue that interest on a straight line basis but when you’re accruing that on a very low volume quarter, it’s higher as a percent. So that’s the long way around of saying that it will be below 38.5% but it will be above 38%.
Operator: Our next question comes from Betty Chen – Wedbush Morgan Securities.
Betty Chen – Wedbush Morgan Securities, Inc.: I was wondering if you can, and I apologize if you mentioned this earlier, but Trevor I was wondering if you can speak a little bit to the inventory control? It looks like you came out of the first quarter very clean. I was wondering if you can speak to how you feel about the current inventory composition and going forward should we continue to expect a similar inventory decrease at the end of Q2 or 2008?
Trevor S. Lang : I think the team did do a good job and this is kudos to both Lynn and Ford and their teams and things they’ve done to make sure they’ve managed inventory. We do have a disciplined approach. When we first started seeing our comps not being the double digit after running that path for two or three years, Lynn and her team immediately started taking actions to lower their open to buys for future months. We started taking proactive measures back really in November of last year knowing what we saw to make sure that we have taken the measures we thought were appropriate. One of the other benefits that we had not only just that we have a great management team that was watching that closely, one of the benefits of having a branded business is you have the ability to work with your vendors to do things. You can maybe not take the last order of the five deliveries or you can cancel other orders. You can have them help you participate in markdowns. There’s a number of things you can do. In some cases we have the ability to return goods. We also are benefited in the down times by our business model. I think it’s just a good, strong discipline from the top and making sure that the buying team is staying close to it which, again they did a tremendous job managing during this difficult environment.
Richard M. Brooks : Betty, as we look forward to the rest of the year, as I said in the prepared comments, we’re going to try to manage inventory very carefully. Why I say that, we’re always talking about the rooms to go both directions. If it gets tougher how do we manage the downside, if we have opportunity how do we manage the upside? Again, Trevor just commented that’s one of the strengths of our business model and close brand partnerships in terms of being able to chase on the upside and work the inventory on the back side. As we look forward, again we’re going to start out from a conservative perspective in managing inventory but we certainly expect and our experience has taught us that we can adjust and to go after things if they’re working and to trim inventory if we need to if things aren’t working.
Trevor S. Lang : Just to answer your last part of your question, Betty, the guidance we’ve given historically even though we’ve done better than this, is we have done a lot of things to get the low hanging fruit. We have suggested and investors should think about us increasing our inventory on a per square foot basis in the low single digit range. Hopefully we’ll continue to beat that but we would say it would be prudent for people to think about that increasing slightly as they model our inventory going forward.
Betty Chen – Wedbush Morgan Securities, Inc.: I was wondering, certainly a lot of retailers are seeing very challenging trends in California, Arizona, Nevada and Florida, things like you’re also seeing. What can we do to maneuver through the, is it possible that it’s a slightly different merchandising strategy or really it’s just the fact that traffic is so challenging in those markets? How are you thinking about tackling that? Because it really sounds like the other markets are doing very well and I was just curious on your thoughts?
Richard M. Brooks : Just so we’re clear, too, Betty, all markets relative to where we were for most of last year have suffered some in some respects of the trend cycles. Those markets clearly have been tougher and as we look at those markets I definitely feel that the issues are macro economic issues. We are constantly looking at how we’re selling through different price points and as you know we strategize and merchandise their store to cover different price point groupings of products in almost every major category and we’re not seeing, still we don’t continue to see a huge difference in sell though. So that would be the most obvious thing you would think about, well if price going to sell differently for us? And as you know we’re not, that’s not our gig. We’re about the lifestyle not about being a price drive merchant. Again the data so far hasn’t told us that those particular products are sell throughs any better than on our mid and higher tier prices. Basically we’re trying things but I think fundamentally it’s traffic and macro economic issues.
Operator: We have a question from Maury Stein – Janel Management.
Maury Stein – Janel Management: You attributed the change in gross margin pretty entirely to the change in occupancy. The indication obviously is merchandise margin was stable or flat and I was curious are you still seeing leverage in buying costs from your rate of purchasing volume or history with your vendors and how does that compare to markdowns actually for the quarter?
Trevor S. Lang : Our margins were very similar to last year if you’re talking about just the product margin component of our sales. I think with everything our teams are doing things slightly better and there are components of managing the inventory, timing it correctly, getting it pushed through, increasing your turns, having lower markdowns, I think there’s a lot of things that go into that. I guess there’s not one specific thing I would attribute it to as to why we were able to hold our margins. I just think the discipline that again Lynn and her organization have and the way they manage the process as well as Ford’s team out there selling the product as soon as it gets in has continued to help us turn our inventory faster and as you know in retail anytime you’re turning that inventory faster you’ve got a less cadence for markdown that you’re going to need to take. Just slightly better management than the previous year even during tough times.
Maury Stein – Janel Management: Are you getting better terms or quotes from your vendors or are you happy just to hold the price per item flat given commodity price pressures?
Trevor S. Lang : Again, in this environment I would characterize it that our margin reflects pretty much a stable environment and stable in terms of relation of what we’re doing with our vendors.
Maury Stein – Janel Management: Any comment on new brands that you’ve introduced in the stores or that you’ve agreed to bring in that we’ll be seeing shortly?
Trevor S. Lang : No, we don’t comment on individual brand performance, so no.
Operator: This concludes the Q&A session for this call. I would now like to turn the call over to Rick Brooks for closing remarks.
Richard M. Brooks : Again, we just really appreciate everyone’s interest in Zumiez and we are going to look forward to talking to you about our results for the second quarter when we get together in August. Thank you everybody.